Operator: Good day, and thank you for standing by. Welcome to The Pennant Group Fourth Quarter 2024 Earnings Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Kirk Cheney. Please go ahead.
Kirk Cheney: Thank you, Marvin. Welcome, everyone, and thank you for joining us today. Here with me today, I have Brent Guerisoli, our CEO; John Gochnour, our President and COO; and Lynette Walborn, our CFO. Before we begin, I have a few housekeeping matters. We filed our earnings press release and 10-K yesterday. This announcement is available on the Investor Relations section of our website at www.pennantgroup.com. A replay of this call will also be available on our website until 5:00 p.m. Mountain Time on February 28, 2026. We want to remind anyone who may be listening to a replay of this call that all statements made are as of today, February 28, 2025, and these statements will not be updated after today's call. Also, any forward-looking statements made today are based on management's current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today's call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results. Except as required by federal securities laws, Pennant and its affiliates do not undertake to publicly update or revise any forward-looking statements where changes arise from new information, future events, changing circumstances or for any other reason. In addition, The Pennant Group, Inc. is a holding company with no direct operating assets, employees or revenues. Certain of our independent subsidiaries, collectively referred to as the service center, provide administrative support services to the other operating subsidiaries through contractual relationships with such subsidiaries. Words Pennant, company, we, our and us referred to The Pennant Group, Inc. and its consolidated subsidiaries. All of our operating subsidiaries and the service center are operated by separate independent companies that have their own management, employees and assets. References herein to the consolidated company and its assets and activities as well as the use of the terms we, us, our and similar terms do not imply that any of the subsidiaries are operated directly by The Pennant Group. Also, we supplement our GAAP reporting with non-GAAP metrics. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business, but they should not be relied upon to the exclusion of GAAP reports. A GAAP to non-GAAP reconciliation is available in yesterday's press release and is available in our 10-K. And with that, I'll turn the call over to Brent Guerisoli, our CEO. Brent?
Brent Guerisoli: Thanks, Kirk, and and welcome, everyone, to our fourth quarter 2024 earnings call. This has been a remarkable year for Pennant, thanks to the dedication of our local leaders and teams who care for our patients and residents each day. We are so grateful for everything you do to provide life-changing service. We are pleased to announce strong fourth quarter results to conclude a year of record-breaking performance. Our Q4 adjusted earnings per share of $0.24 contribute to full year 2024 adjusted earnings per share of $0.94, which exceeds our updated earnings guidance midpoint of $0.93. As a reminder, we raised guidance twice during 2024. Our full year consolidated results include revenue of $695.2 million, an increase of $150.3 million or 27.6% over the prior year and adjusted EBITDA of $53.3 million, an improvement of $12.6 million or 30.9% over the prior year. 2024 was an eventful year for Pennant. We launched transformative partnerships, including a joint venture with John Muir Health in the Bay Area, which is now successfully transitioned and contributing positively to our results, and a management agreement with Hartford Healthcare in Connecticut, which we view as a foundational relationship for future expansion in the Eastern United States. We completed numerous strategic home health and hospice acquisitions, including the $80 million purchase of Signature Healthcare at Home, a large provider of home health and hospice services in the Pacific Northwest. We also made opportunistic senior living acquisitions and added attractive real estate assets to our portfolio. We strengthened our capital structure to enable additional growth by upsizing our credit facility and completing a follow-on equity offering. Through all of this, we significantly expanded our same-store operations and continue to add key individuals who will lead us to new heights in the future. Throughout 2024, we remain focused on 5 key initiatives: leadership development, employee experience, clinical excellence, margin and growth. We've effectively made progress in each of these areas during the year. The most important initiative continues to be leadership development, which ultimately drives performance in the other 4 areas. As a leadership company, we believe that attracting and developing talented leaders is paramount for growth and success. For this reason, we continue to invest meaningfully in our leadership development programs. Notably, in 2024, we added 66 leaders to our CEO and training program and launched a clinical leadership training program that included 40 participants. We were not only successful in recruiting and developing new leaders, but also in the continued development of existing local leaders who achieved record numbers of C-level designations in the year. In total, 45 local leaders earned C-level designations in their operations, including 18 local CEOs. As we've explained before, CEOs and other C-level leaders earn this designation by behaving as true owners and creating financial, clinical and cultural value. In the process, they typically generate higher annual earnings than our non-CEO executive directors, along with better clinical and cultural outcomes. Following a monumental year, we are excited about the significant progress we have made and expect to build upon it throughout 2025. We are also focused on quickly and effectively transitioning newly acquired operations and have the bench strength, capital, and deal flow to support substantial acquisitional growth. We continue to entertain numerous potential opportunities across our existing markets and beyond. Turning to 2025 guidance, as we announced in our press release yesterday, we are providing guidance for the full year. We anticipate full-year revenue in the range of $800 million and adjusted earnings per share in the range of $1.03 to $1.11. The midpoint of $1.07 represents 13.8% growth over our 2024 adjusted earnings and 46.6% growth over our 2023 results. Our 2025 guidance is based on the compelling momentum in both our segments, the readiness of our local leaders to drive organic and inorganic growth, and the significant upside we expect to continue to unlock in our existing operations. The guidance is annual, not quarterly, and it reflects an anticipated ramp throughout the year, particularly as we transition a significant number of recently acquired operations. With that, I will turn the call over to John Gochnour to provide more detail on our fourth-quarter operational results.
John Gochnour: Thank you, Brent, and good morning, everyone. I am pleased to report that the strength that has characterized both of our business segments throughout 2024 continued in the fourth quarter. Turning first to our home health and hospice segment, top-line revenue for the full year increased to $519.5 million, a $125 million or 31.7% increase over the prior year, while revenue for the quarter increased to $142 million, a $35.1 million or 32.9% increase over the prior year quarter. Earnings growth reflected similarly strong improvement as adjusted EBITDA of $80.7 million represented an increase of $20.5 million or 34.1% over the prior year, and fourth-quarter adjusted EBITDA of $21.3 million increased $4.7 million or 27.9% over the prior year quarter. Both our home health and hospice businesses grew rapidly, as our local teams attracted outstanding clinical staff, built strong partnerships, and differentiated themselves by offering effective care. Home health admissions hit a new high of 15,909, an increase of 40.9%. Medicare admissions increased to a record 6,443, an increase of 30.1%, and Medicare revenue per episode increased 9.9% each over the prior year quarter. This overall growth was driven by strong transitions in our new operations and ongoing momentum in our existing portfolio as same-store admissions grew 14.4% and same-store Medicare admissions grew 6.1%, each over the prior year quarter. At our hospice operations, admissions increased 21.7% to 3,090, and hospice ADC increased 23.2% to 3,445, resulting in strong revenue growth even as our revenue per episode decreased by 1.6% each over the prior year quarter. In our same-store hospice operations, admissions grew 10.4% and ADC grew 9.6%, each over the prior year quarter. This ADC growth represents the ninth consecutive quarter of ADC increase as our hospice programs continue to meet the needs of the communities they serve. We attribute much of the outperformance of our home health and hospice business to our local leaders' relentless focus on quality clinical outcomes, evidenced by the fact that 83% of our agencies have a real-time star rating of four stars or above. Our average CMS-reported star rating of 4.1 significantly exceeds the national average of 3.0, and our CMS-reported potentially preventable hospitalization rate of 8.7% is 120 basis points better than the national average of 9.9%. As a result of our strong clinical outcomes, we are poised to benefit in 2025 from the expansion of CMS's home health value-based purchasing program. As we have described in past calls, we often experience lumpiness in our operating margin as we acquire and transition underperforming assets. Despite the potential margin pressure that could have resulted from record acquisitional growth in 2024, our adjusted EBITDA margin improved 10 basis points year over year to 15.7%, which contributed positively to the home health and hospice segments' adjusted EBITDA increase of $20.5 million. In addition, we achieved this improvement despite an atypical hospice cap expense in the fourth quarter of $1.7 million. Excluding this expense, our fourth-quarter adjusted EBITDA margin would have increased from 15.0% to 16.2%. With the significant number of acquisitions completed in 2023 and 2024, and ongoing efforts to drive efficiency through technology and improved management, we are poised to create additional whole dollar value and unlock latent potential for margin improvement in 2025. Our senior living business continued its ascent as we improved operational results while also taking advantage of favorable acquisition opportunities. Senior living segment revenue improved to $175.8 million, an increase of $25.3 million or 16.8% over the prior year, and $46.9 million in the fourth quarter, a $7.8 million or 20% increase over the prior year quarter. Full-year senior living segment adjusted EBITDA improved to $16.2 million, a $3.9 million or 31.9% increase over the prior year, and $4.2 million for the fourth quarter, an increase of $0.8 million or 23.4% over the prior year quarter. On the year, occupancy rose 30 basis points to 78.8%, as we have focused on quality of revenue including both room and board and level of care. We have continued to drive improved average revenue per occupied room, which climbed to $4,961 in the fourth quarter, an increase of $393 or 8.6% over the prior year quarter. On the growth front, through our investment in our leadership development program, the health and momentum in our markets and portfolio companies, and the balance sheet transactions we completed this year, we are well-positioned to take advantage of opportunistic acquisitions in both segments. In the fourth quarter, we entered into long-term triple net leases for three senior living communities in the Green Bay area of Wisconsin, bringing 125 additional units into our portfolio. These acquisitions reflect our disciplined approach to growth with experienced leaders ready to step in, healthy, geographically proximate clusters ready to embrace the operations and implement the Pennant model, and attractive rents with significant upside. These buildings have performed well out of the gate and are well-positioned to be accretive to our short and long-term senior living results. After quarter-end, on January 1, 2025, we closed on the purchase of Signature Healthcare at Home's Oregon assets, completing the two-stage transaction. The Washington and Idaho operations, which we purchased on August 1, are transitioning well and contributing positively to our results, and we anticipate a similar trajectory for the Oregon operations. We pursued this deal because we knew that Signature was a quality company with talented clinicians, strong leaders, and a strategic footprint whose culture aligned exceptionally well with Pennant. Our experience has confirmed those expectations. We are excited for the bright future that we can create in Oregon, Washington, and Idaho as our Signature partners become C-level leaders in the unique Pennant operating model. On February 1, 2025, we closed an additional three senior living deals, one in Idaho and two in Texas, each under a long-term triple net lease. The Idaho acquisition adds 68 units to our portfolio in the fast-growing Boise area. The lease provides an option to purchase the underlying real estate at a predetermined price, making it an attractive way to add to our real estate portfolio as we create value through the operational transformation. The acquisitions in Kerrville and Tomball, Texas, add 120 units to our senior living portfolio. These are attractive Class A buildings in growing population centers that significantly overlap with our home health and hospice agencies, creating unique opportunities to build the Pennant continuum of care. With that, I will hand it over to Lynette Walbom for a review of the financials. Lynette?
Lynette Walbom: Thank you, John, and good morning, everyone. Detailed financial results for the full year and three months ended December 31, 2024, are contained in our 10-Ks and press release filed yesterday. For the full year ended December 31, 2024, we reported total GAAP revenue of $695.2 million, an increase of $150.3 million or 27.6% over the prior year, GAAP diluted earnings per share of $0.70, and adjusted diluted earnings per share of $0.94. As a reminder, our 2024 full year included total revenue between $665.3 million and $706.5 million, adjusted earnings per diluted share between $0.90 and $0.96.
Brent Guerisoli: Cents?
Lynette Walbom: Adjusted EBITDA between $51.9 million and $55.2 million. We delivered on this guidance with adjusted EBITDA of $53.3 million, a $12.6 million or 30.9% increase over the prior year, and non-GAAP adjusted earnings per diluted share of $0.94, an increase of 28.8% over the prior year. Our cash generation remains strong. The fourth quarter was a prolific quarter for cash accumulation, including $20.6 million in net cash generated from operating activities and $17.2 million in free cash flow. Based on our solid operational performance, the positive impacts of our credit facility upsize, and our equity offering in 2024, we are well-positioned for future growth with a healthy balance sheet and ample dry powder to deploy. Key metrics for the full year ended December 31, 2024, include $245.8 million available on our revolving line of credit and $24.2 million in cash on hand at year-end. Zero times net debt to adjusted EBITDA and cash flows provided from operations of $39.3 million for the year. As we mentioned in our press release, we are providing full-year 2025 guidance of revenue of $800 million to $865 million, adjusted EBITDA of $63.1 million to $68.2 million, and adjusted earnings per share of $1.03 to $1.11. Our guidance incorporates current operations and organic growth, diluted weighted average shares outstanding of approximately 36 million, a 25.5% effective tax rate. Our 2025 annual guidance anticipates an EPS increase quarter over quarter. That's based on a ramp in home health and hospice ADC, occupancy and rate improvement in senior living, anticipated reimbursement rate adjustments, level interest rates, and inflation consistent with 2024. It does not include unannounced acquisitions, excludes startup operations, share-based compensation, acquisition-related costs, and one-time implementation and unusual items. Now it's my pleasure to spotlight a few operations and their leaders who have demonstrated exceptional performance in 2024. Their stories illustrate the remarkable results that can occur when local leaders behave as owners and drive operational excellence.
Brent Guerisoli: At Big Sky Home Health and Hospice,
Lynette Walbom: Future CEO, Janie White, future CCO, Ama Sankey, and future COO, Jenna Loia, have built an operation that is an employer and provider of choice in the Missoula, Montana healthcare continuum.
John Gochnour: Since Jamie took the helm at Big Sky in 2022,
Lynette Walbom: Big Sky added home health services to its offering, decreased turnover by more than 50%, and improved its employee engagement score to 88% in 2024. Clinically, Big Sky has achieved a real-time star rating of 4.5, a hospice composite score of 100, and a hospice cap score of 84.5%. Each well above national benchmarks. In addition, Big Sky received the full 5% positive revenue adjustment for home health performance under CMS's value-based purchasing program. These excellent clinical and cultural outcomes, coupled with solutions designed to meet the needs of their local continuum, drove 2024 results that reflect a 145% increase in revenue and a 410% increase in EBITDA over the past two years. In Whittier, California, future CEO,
Brent Guerisoli: You see Barbara Aguirre
Lynette Walbom: and wellness director, Kathleen McDonald, have created an exceptional community at Whittier Glen Assisted Living. This community has clearly become an employer of choice with employee satisfaction scores of 92%, and turnover has improved 35% year over year and is significantly better than industry averages. Whittier's cultural strength has led to exceptional clinical outcomes in increasing resident safety and satisfaction. Ultimately, this impacts financial results. Year over year, Whittier's revenue has increased 16%, and EBITDA has increased 147%. Now I would like to hand it back to Brent.
Brent Guerisoli: Thank you, Lynette. As you can see, we have had a remarkable year and are primed for success in 2025 and beyond. With that, we will open it up for questions. Marvin, can you please instruct the audience on the Q&A procedure?
Operator: Thank you. At this time, we will conduct the question and answer session.
Scott Fidel: As a reminder, to ask a question, you will need to press star one one on your telephone and wait for your name to be announced. To withdraw your question, please press star one one again. Please standby while I compile the Q&A roster. And our first question comes from the line of Scott Fidel of Stephens. Your line is now open.
Scott Fidel: Okay. Thanks. Hi, everyone. A couple of questions here for me. Maybe the first one just within the 2025 outlook, it will be helpful if you want to walk us through how you are embedding expectations for same-store revenue growth for home health, hospice, and senior living within that guidance.
Lynette Walbom: On the same storefront for revenue? We are projecting about a 7% increase in revenue for those same stores. And same store includes, I am looking at that, it's the entire portfolio. So same store, new store with the exception of signature. The signature ads. We are looking at signature as kind of a separate piece.
Scott Fidel: Yeah. Okay. And then we will have just, like, around that 7%, you know, now, I guess, you might not have the specifics, but any or Brent Guerisoli and John Gochnour, like, directionally, how would you think about, you know, home health hospice and SL know, either being sort of over or under that 7% aggregate change for growth.
John Gochnour: Yeah. I am happy to jump in, Scott, and just share from a home health and hospice perspective. Obviously, you know, recent trends over the last two years would suggest that we have got the opportunity to improve on that number. We wanted to recognize the fact that we have a lot going on from a transition standpoint, and we are always sensitive to that. But when you look at our growth this year, it was really record-breaking to have a 40% increase in home health admissions to grow our revenue by 30%. We are feeling really optimistic about the opportunity that we have to continue to drive growth within those same-store operations. On the senior living side, I think you see our ability to continue to push rate improvement. While that has ameliorated a little bit our occupancy growth, the quality of revenue, our ability to capture care's revenue more accurately, our ability to still pass through room and board increases. That's what gives us a lot of optimism in both segments that from a same-store standpoint, we can continue to.
Scott Fidel: Okay. Thanks, John. Then my second question, I guess we have to have the obligatory, you know, question around sort of the legislative funding environment in Washington and the discussion there. You know, appreciate your payer mix disclosures. In 2024, you had Medicaid mix right at around 13%. You know, maybe if you could sort of, you know, I guess, sort of give us some details there. I mean, that would seem to be, you know, mostly home care, right, that I would suspect, within that you know, maybe sort of talk about, you know, I guess, you know, sort of contribution to earnings, you know, relative to the 13% revenue mix? And then sort of how your assessment would be around you know, the exposure or not to some of the different you know, funding, you know, funding or savings options that the GOP is considering currently in DC.
John Gochnour: Yes, Scott. Appreciate the question, and I think it's an important one for us to consider. Just to highlight sort of and add some color to the 13%, that's primarily driven by the Medicaid business in our senior living business. And so you can add a couple more percent for our home care for a total of about 15% of our business that would be exposed to potential impact from Medicare. On the earnings front, I would say we have been able to identify and find some fairly favorable programs on the senior living side. But these are all programs that are designed to serve the communities that are so important to our nation's future, that are vulnerable and that need a place to stay in a low-cost setting. And so as we look at what the administration is doing, they are looking at every opportunity to save money. We appreciate that. They have been fairly consistent in saying that Medicare will not be touched. Of Medicaid, they are looking for fraud, waste, and abuse, not to cut these essential services for critical patients. As they look at places to cut, they are going to identify that the services we provide, home health, hospice, home care, non-skilled home care, and senior living all represent sort of a lower expenditure of Medicaid dollars and offer opportunities to actually save money because of the high-touch nature of our care, the fact that it's the lowest cost setting, and the fact that it helps keep patients out of the hospital in higher acuity settings. And so we remain optimistic that from an impact standpoint, that that's going to hold true. The final thing I will say is we have endured a number of changes throughout the history of the time that Brent and I have been doing this for over 13 years. And during that time, we have gone through multiple changes. The change from the PDGM. We received ARPA funding on the senior living side. We had that taken away. Throughout all of those changes, I think our model has shown its resilience. Our local operators have the transparent visibility to be able to understand how payment changes impact their patient mix and resident mix. They have the visibility to adjust those as those changes occur. And so as much as you know, obviously, this is very pertinent in our space right now. We feel confident that we are well-positioned to adjust to any changes that do occur. But again, a fairly modest amount of our revenue that is potentially implicated by any Medicaid cuts.
Scott Fidel: Okay. Thanks, John. And that just stopped one final one for me if I can. I know you guys called out a couple of times anticipating a ramp over the course of the year. I know that's generally been the pattern the last couple of years. So just wanted to confirm or not whether there's any different level or magnitude of ramp that you're thinking about for this year versus the last couple of years. And then if you could give us your thinking around operating cash flow and CapEx for 2025 and that's it for me. Thanks.
Brent Guerisoli: Yeah. And I will let Lynette take the question on cash flow and CapEx. But in general, yes, we expect to see a similar ramp to what we have seen in years past. That being said, because of all of the new transitions and larger acquisitions we have done at the end of the year, I think it may be a little more of an aggressive ramp over the year. So at the beginning of the year, we are trying to integrate these operations and so from that perspective, yeah, it will be similar to years past but maybe a little lighter at the beginning of the year and more aggressive toward the end of the year.
Lynette Walbom: On the operating cash flow front, we are looking at mid to high forties for operating cash flow. And then if we look at CapEx expenditures, it is similar to what we have experienced this year.
Scott Fidel: Or in 2024.
Lynette Walbom: Okay. As a percentage of revenue or absolute dollars, Lynette?
Lynette Walbom: Absolute dollars.
Brent Guerisoli: Okay. Alright. Thank you. Just a little color on that. So we have spent a lot of time the last several years really reinvesting in our buildings. And so that's why we are seeing a little bit of distant overall flattening in the CapEx spend. So you know, and then some of these newer acquisitions or newer buildings that we brought on are nicer Class A buildings that do not necessarily require as much CapEx spend. So anyway, that's what's kind of built into that as well.
Scott Fidel: Alright. That's good to hear. So probably important call there. So it seems like free cash flow then should probably ramp. We will see that a little more pronounced in 2025 relative to 2024, sounds like. Yes. Yeah. Okay. Great. Thank you.
John Gochnour: Thanks, Scott.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Steven Baxter of Wells Fargo. Your line is now open.
Steven Baxter: Hi. Thanks. Kind of a similar theme question. Just on the guidance assumptions. Just hoping you could help us think about when we look at the drivers of EBITDA margin improvement, I guess, how do we think about the balance between, you know, what's being driven by some of the, you know, the recently acquired assets? How do we think about within there on a maybe a same-store basis for home health and hospice business and then also, you know, the same-store type trends that you'd expect within senior living and then, you know, the follow-up. Thank you.
Lynette Walbom: When we are thinking about margin, I would say that there will be some impact as we have had these acquisitions at the end of 2024 and then beginning of 2025 that will, as we bring those operations closer to our EBITDA margin. There will be some noise there. But when we look at where we think we will end up on that home health margin, it's similar to where we are at this year in that high 15, low 16% EBITDA margin. And then with senior living, we are looking at that margin increasing throughout the year. Again, as we drive occupancy and just improve some of our cost control measures, and moving that margin closer to that 10.5%.
Steven Baxter: Got it. Okay. Thank you. And then just to kind of discuss, you know, the hospice cap issue a little bit more, and I know these, you know, popped up in the past and you guys have, you know, operational methods to, you know, kind of remediate that. So I guess just how do we think about, you know, the operational changes you make to deal with that and how long, you know, that kind of persists throughout 2025. I'm just trying to think about, you know, how much of the drag there might be that might be, you know, sort of transient within the 2025 outlook as well. Thank you.
John Gochnour: Yeah. Appreciate that question, Steven. And I think as you look at hospice cap, historically hospice cap, we have not operated with significant hospice cap. Uniquely, about 88% of the cap impact that we accrued in 2024 came from California, a state where because the wage index is tied to the reimbursement, our reimbursement increases at a faster rate than the hospice cap allowance increases. And that's what that is just a fact, right, that we have to address and deal with. Our focus has been on how do we change the underlying mix of our patients. We are in this business to serve patients who are terminally ill throughout the disease prognosis. It's impossible to verify that. We all saw, you know, former President Jimmy Carter who is on hospice for a significantly longer time than the six months that are expected. And we want to be the partner of choice for every patient in the communities we serve. That said, there are certain referral sources who generally refer patients that are later along in their disease prognosis and our focus is on continuing to develop and build those relationships with those patients that identify the need for hospice care earlier on their disease prognosis and ensure that we avoid cumulative hospice cap. As far as the impact on last year, we called it out. It was somewhat pronounced, $1.7 million in the fourth quarter. That's a very significant and atypical expense and affected our margin. As we go into 2025, we have been on for several months, we've been focused on adjusting those referral patterns, and we'll continue to do that. I would say we are managing our business in such a way as to eliminate as much of that cap as possible in 2025. And whatever residual there may be would be from the 2024 cap year. And I would estimate that as potentially about a third of what we experienced this year, potentially less than that if we manage it effectively. So we are focused on again, changing the referral source, making sure that we are the partner of choice in the communities that we serve. And I'll emphasize that this really only affects a couple of agencies. Most of our agencies operate well below the cap, and those agencies that are affected are in those higher reimbursement geographies where we simply have less time to care for the patients because of the design of the hospice cap allowance.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Ben Hendrix of RBC Capital Markets. Your line is now open.
Ben Hendrix: Great. Thank you very much. I wanted to turn back to the Senior Living segment. Clearly, you're seeing really strong rate momentum there, and I know you've outlined initiatives in the past to kind of focus and optimize mix towards potentially maybe more AL mix. Just wanted to get an idea of kind of what inning we're in there with the same-store portfolio and kind of how you're thinking about those opportunities. As you look for M&A in the future. Thanks.
Brent Guerisoli: Yeah. Great question, Ben. And, you know, I think we kind of touched on this in our script, but one of the things that we saw in 2024 was a real focus on driving revenue quality. And so what that means is some of the resident population or just in general, bringing in folks in at a higher rate. It plateaued a little bit some of our occupancy growth. The great thing though is we're in a much better position now than we've ever been. Also mentioned the investments in our buildings and trying to create an experience that meets the expectations of our residents. And so those investments coupled with continued investments on the technology front, trying to build out our sales cycle, and, you know, really being able to capture new and different residents in the communities we're in. We feel really good about where we're at. I mean, in terms of, like, we're still kind of in the early stages of this. And I think as we really start to ramp up these efforts, and execute on what we've implemented, you know, that's why we're optimistic that going into 2025, we'll continue to see that ramp up in occupancy. And the other thing just to bear in mind is we have a significant number of our operations that are in the high eighties or low nineties in terms of their occupancy. So we know that we know how to make it happen, just a matter of helping to build those local teams and giving them the tools and resources to be able to effectively build their occupancy at the local level as well. And so, again, we're confident that we've got kind of the foundation in place and so this should be a year that we continue to grow off of.
Ben Hendrix: Great. Thank you.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn it back to Brent Guerisoli for closing remarks.
Brent Guerisoli: Hey. Well, thank you, Marvin, and thank you everyone for joining us today.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.